Operator: Welcome to Dometic Q4 Report 2025. Today, I am pleased to present CEO, Juan Vargues; CFO, Stefan Fristedt; and Head of Investor Relations, Tobias Norrby. [Operator Instructions]. Now I will hand the conference over to the speakers. Please go ahead.
Juan Vargues: Hello? Can you hear us? [Technical Difficulty]. Okay. So good morning, everybody. Well, I would like to start by apologizing for the technical problems, but we are back. So good morning, everybody, and welcome to this Q4 and full year webcast for 2025. With that said, let's move into the presentation. Starting with the highlights, market, the overall market conditions are still challenging. Consumer confidence is still not where we would like it to be. And at the same time, retailers and dealers as well as OEMs are still cautious in building inventories. Having said that, we also feel that inventories at retail level are improving. They are just now at a low level, and it's very much just now a question about consumers starting to buy. Looking at growth, 3% negative organic growth for the quarter, with Service & Aftermarket down 3%, which is obviously an improvement in comparison to previous quarters. Distribution, back to growth, very much driven by Mobile Cooling. And then we see also improvements from an OEM perspective, where still, Marine slightly negative. We also have LV slightly negative, while we see improvements in other areas. EBITA margin, 6% in comparison to 7.3%. But then we also need to consider that we have a major effect on -- when like-for-like. So we have a substantial negative effect by currencies -- driven by currencies, and we will get back to that on the details. At the same time, as we previously communicated at the end of last quarter, we also have negative impact in Mobile Cooling specifically from increased labor cost since we added about 250 new people in the organization at the same time as we also have the price corrections to compensate for the higher tariffs in Mobile Cooling. Looking at free cash flow, we ended up at SEK 20 million, which is a bit lower than 1 year ago, even there, very much influenced by the currencies. But at the same time, as we have seen a more positive order intake, backlog starting to come to the same level as last year, and we have been building inventories for the start of the season in Q2. At the same time, we also had later invoicing in the quarter this year in comparison to last year. All those factors are having an impact on the free cash flow. Leverage ended up at 3.3x in comparison to 3.1x in previous year. If we move over to numbers, sales ended up at slightly above SEK 4 billion for the year with 3% organic growth, 12% FX, meaning obviously a substantial impact, and then 1% negative by the portfolio changes that we are doing. EBITA ending up at SEK 245 million or an EBITA margin of 6%, as I commented before, compared to 7.3% last year. We got a negative EPS in the quarter of SEK 0.67, adjusted negative EPS of SEK 0.39. And as commented before, cash flow of SEK 20 million -- free cash flow, SEK 20 million, a leverage of 3.3x. Moving to the whole year, ended up at SEK 21 billion in sales with a total negative effect of FX for the year of 6%, 8% down organic growth and the same 1% on portfolio changes. With EBITA landing above SEK 2.2 billion, or an EBITA margin of 10.6% versus 10.8%. And of course, considering the negative growth, we feel quite proud of what we are achieving, working very, very hard to keep our cost in control despite the negative top line decline. EPS ending up at SEK 1.34, with an adjusted EPS of SEK 2.52, and a free cash flow of above SEK 1.4 billion. Net sales, obviously, we are still not there, but we're starting to get close. As you can see on the graph, we are coming from hovering around 10%, 11%, 12% quarter-by-quarter for the last 3 years. And we saw Q3 landing on minus 6%, now minus 3%. And as commented before, we see order [ intake and backlog ] improving. Difficult to say obviously when we are going to see Dometic moving into positive territory, but it's quite clear as well that we are getting very close. Looking at the different segments, Land vehicles ended up at minus 4% with Americas down 10%, EMEA positive for the quarter, plus 1%, APAC minus 10%. Marine came back to a negative growth of 3% after slightly growth shown in Q3. And we don't see that as anything strange. Obviously, the market needs to stabilize. We are coming from pretty negative growth. We saw plus 1%. Now we see minus 3%. We're expecting obviously to see improvements moving forward as well. Mobile Cooling, good to see that we are back to growth and optimistic about the expectation for 2026. And then Global Ventures, minus 3%. And we'll come back later to some more details on the different segments. Looking at the different channels, no major differences, in reality, is -- really, we see Service & Aftermarket becoming a little bit higher on the share, while the OEM channel is becoming a little bit lower, ending up at 39%. And just as comparison, we are coming from a situation, 2018, where the OEM side stood for 62% of total sales. Looking at the different channels, again, it's quite obvious that we are moving in the right direction. Service & Aftermarket, we were [indiscernible]. We were positive in Europe, while we were negative in Americas. Distribution, as I commented, we have positive in parts of Global Ventures and positive on Mobile Cooling having an effect -- 2% positive effect on the distribution channel. And then OEM is also quite clear that on one side. The European market is stabilizing. We see -- especially in Southern Europe, that we are starting to see growth, while Central Europe is still sitting on a little bit too high inventories even if they are coming down. So we expect even, from that perspective, improvements moving forward. We also saw, as a matter of fact, the commercial vehicles showing growth for the quarter, and we have seen growth for the entire year. So that's also a positive sign that things are improving. Looking at EBITA, as I commented at the beginning, 6% versus 7.3% last year. Looking at the underlying margin when comparing like-for-like, 2.9% higher than 1 year ago. FX, again, we will get back later, but had a major impact in this specific quarter. We also have the additional labor cost and the comparison to duty drawbacks in Mobile Cooling, that we commented in previous quarter, was going to have an effect also in Q4. We are happy to see gross margins improving, ending up at 28.7% versus 26.8% despite the lower sales. So it's clear that the restructuring program is biting quite a bit. And on top of the restructuring program, we also have a number of other activities to increase efficiency overall in the company. And then even if we are showing negative EBITA development in the quarter, we also see that both Land Vehicles and Global Ventures are showing better margins despite the currency situation. Moving to specifics on the -- moving on the specifics to Land Vehicles. We have, on Land Vehicles, net sales of SEK 1.8 billion with organic growth -- negative organic growth of 4%. We got decline in both channels. But as I commented before, growth on the CPV channel as part of Land Vehicles. And we also showed growth in EMEA for the first time during the last 5 quarters, which is telling us really that the LV -- RV business in Europe is stabilizing. EBITA, higher SEK 66 million in comparison to SEK 23 million last year or 3.6% EBITA margin with clearly a positive impact of the global restructuring program. As we commented, when we announced the program, the LV segment was going to be the one showing the major impact during that program. We see both increased profitability in EMEA. We see reduced losses in Americas and APAC still delivering pretty high margins despite the drop on the top line. Marine, down in organic growth, 3%, with sales and aftermarket stabilizing as well, flattish in comparison to 1 year ago, and single-digit decline in the OEM channel. EBITA, almost SEK 200 million or 18.5%. So a slight decline on the EBITA margin, defending, in other words, protecting the margins pretty well despite the drop in the top line. In this case, the margin decrease is very much due to the currencies, as Stefan is going to come back to. And then we see even there that we are doing a pretty good job in reducing cost to compensate for the drop on the top line. Mobile Cooling. Organic growth, positive. That was a positive in the quarter. We see a strong recovery in North America in Q4 in comparison to Q3. On the negative side, obviously, the margin in the quarter is not coming as a surprise. We also already announced that we had on one side the positive onetime effect of SEK 63 million coming from the duty drawback. At the same time, as we also had inefficiencies caused on one side by labor since we employed again about 250 new people at the same time as we have additional training costs and at the same time, as we implemented prices, but the prices are kicking in in January. So we are not expecting negative effects from those factors from January this year. Moving over to Global Ventures, ending up 3% negative as well with good continuous organic growth in other global verticals. At the same time, as we see decline in Mobile Power Solutions driven by the soft RV industry, even if it's improving. And even here, we are pleased to see that our EBITA margin is improving 7.1% and also in absolute value, is improving to SEK 28 million in comparison to SEK 24 million last year. As a consequence on one side of the sales mix -- positive sales mix, at the same time as we keep working on reducing our cost. On sustainability, we are happy to see progress in all areas but one. So injuries coming down to, I would say, all-time low. In this case, after a lot of investments that we have been doing across the company, to improve in this area. Female managers, up to all-time high, 31% in the quarter. We would like -- obviously, we will continue to work in that area. But again, showing progress. Energy, renewable energy operations, 37%, and also beating our own targets, while innovation index, the same ending up 23% in comparison to 21% 1 year ago. And that's a super important one because that has an immediate impact as well on climate. So new products drive lower climate. [Audio Gap] So looking at the products in the Marine area, we have a new sanitation product for sailing boats that we just launched. And then last but not least, also starting to see the synergies coming from our Mobile Power business and introducing new products in the Marine area, where we are going to increase efficiency by connecting a number of different batteries into one single device. Happy to report as well that our global restructuring program is running slightly better than expectations. As you may remember, we are expecting SEK 750 million in savings at the end of 2026 -- running rate at the end of 2026. And so far, 300 employees have been impacted. We have closed 1 manufacturing site and 5 distribution centers. We are running at the end of December at a rate -- a saving rate of SEK 350 million. And we had cash out that also impacted obviously our free cash flow in the quarter of SEK 100 million, a little bit higher than SEK 100 million. And totally for the year, the cash out has been a little bit above SEK 200 million. And then we keep working on the divestments. Unfortunately, we cannot communicate anything yet, but we are working on that. And then on discontinued businesses, we stopped a couple of businesses, leading to a 1% negative organic growth for the year -- for total year. And we will see that number now fading away step by step. And with that said, Stefan, stage is yours.
Stefan Fristedt: Thank you, Juan. Good morning. And we are starting with the Q4 income statement. Gross profit-wise, we continue the positive trend in improving our gross profit. And that is despite that we have a SEK 30 million negative effect from the tariff/labor cost increases within Mobile Cooling. Then we have an underlying development in the EBITA margin. So let me save that for the next slide here, and so we will come back to the different details on that. Further comments that on operating expenses that we have reductions driven by global restructuring programs and other measures. And at the same time, we feel that we are able to invest in strategic growth areas like product development and sales resources. On the net financial expenses in the quarter, we can see that the interest on bank loans is slightly higher than last year, and that is very much driven by the fact that we have, in the short-term perspective, had higher debt than basically needed with the plan that we are going to repay debt. We have also done that in the later part of the quarter, and we will continue to do another repayment in May 2026. So that has been driving up the net interest on bank loans and financial income somewhat. On the tax side, the tax rate is negatively affected by nondeductible interest expenses in Sweden. And then we also have made a tax provision in the fourth quarter for ongoing tax audits. So let's move over to the specification of the EBITA in the quarter. And as you recall, we had in Q4 last year, a duty drawback repayment of SEK 63 million related to Mobile Cooling, which was a onetime off, and that did, of course, not repeat itself this year. Then we also, as communicated in Q3 that we have a delay between the price increases we are taking out to compensate ourselves for tariff cost and higher labor cost, also mainly in Mobile Cooling. That is SEK 30 million. So that is the second part for the adjustment. If we sum that up, then we have an underlying EBITA of 6.8% versus 6% last year. And then we have the currency impact, of course, especially the dollar has been swinging a lot. It's almost a SEK 2 difference to the dollar between Q4 last year and Q4 this year. And that have had an effect which, measured in EBITA margin, is 2.1%. So that's the specification on how we come to the 8.9% underlying versus 6% last year. Let's move on to the next, coming into our cash flow statement. We have a somewhat lower operating or free cash flow than what we have seen in the past. And from a working capital point of view, we have seen that -- and also that we talked about in Q3 that we also have to build up inventory to meet demand, that we are expecting to come. And then there is also a currency effect in the free cash flow impacting it. It's approximately SEK 250 million. And then obviously, there is also an underlying lower profit that is impacting the cash flow. Then we have a cash out related to our restructuring program of SEK 103 million in the quarter. That means that program to date, so starting to count from Q4 last year, we have now had a cash flow effect of SEK 270 million on our restructuring program. And as you remember, SEK 400 million is what we have said will be the cash flow impacting part of the restructuring program. So on the free cash flow before M&A, interest expenses paid is down and also taxes paid are down. And then as you can see at the bottom, we did a repayment of USD 229 million in the loan here using cash on hand, which is perfectly according to plan. Yes. Moving over to the next slide, you see the free cash flow development more in a time horizon. And if we look into 2026, I mean, I still feel that the free cash flow, it's probably not going to come up to the full level of 2025, but slightly below that level is my expectation for the full year 2026. Looking to the working capital. There, we see positive development here. The working capital over the last 12 months is 25% of net sales. It was 29% of net sales last year. And if we look not on an LTM basis, but in the quarter stand-alone for Q4, we are down to 23%. This is, of course, driven by the inventory balance, which is now SEK 4.8 billion compared to SEK 6.5 billion last year, and we can also see that the days of inventory on hand is down to 119 days versus 138 last year. So I think we -- I'm satisfied with how we have been able to drive down inventory during the year. Then there is still further potential to optimize working capital going forward, where the target is 20% of net sales. And you can see the different components here and obviously, where we have the most profound development within inventories. The other 2 stays pretty stable. Moving over to CapEx and R&D expenses. CapEx is a little bit down in the quarter, and we are also making strategic decisions about where we spend, so -- but it's also partly related to timing. If we look on R&D, it's now 3.5% of net sales, and that has been clearly a target that we have had continued to develop and launch new products, which we also see in the innovation index, which is continuing to come up. Moving over to our debt maturity profile. As you see, we have some debt falling due in 2026. The SEK 2.2 billion is the remaining part of the 2026 Eurobond, SEK 100 million we paid off when we did the new bond in September in 2025. And that is intended to be paid off with cash on hand. Then we also have SEK 0.8 billion falling due in September, and we are keeping our options open here. But if the cash situation allows for it, we are considering to pay it off in September. Looking a little bit on our debt portfolio. It now has an average maturity of 2.7 years. And we have also extended a USD 233 million term loan to 2029. And then the undrawn revolving credit facility of SEK 300 million is maturing in 2028. So with that, we move over to our leverage ratio, which ended at 3.3x, which is 0.1x up versus Q3, and it's, of course, driven by the reduced EBITA and which is then the impact from lower net sales mainly. And we are highly focused in the organization on protecting margin and reducing working capital and which we have seen in the past. And that work, of course, continue combined with a very clear growth focus as well. And we are, as we have said all the time, committed to drive towards our target of around 2.5x of leverage. So with that, that was my last slide. So I hand over to you, Juan, to conclude the presentation.
Juan Vargues: Thank you, Stefan. So looking at the business, we continue to see a market stabilization, and we see also the signs in order intake and backlog situation. EBITA in the quarter was, of course, disappointed even for us. And of course, the currency is not a lot that [indiscernible]. But nonetheless, we were disappointed clearly. Massive impact from currencies. We already commented after Q3 Mobile Cooling, and that was obviously confirmed during the quarter. Happy to see that Land Vehicles, that has been the toughest, obviously, segment, very much impacted by the RV industry, is showing better margins as well as Global Ventures, despite, again, the currencies. Free cash flow, I want to repeat myself. Currency did have an important effect even here, but we also built up some inventories in preparation for the Q2 when looking at better order intake and backlog. We have lower profit, clearly, which is also impacting the free cash flow. And on top of that, we had this SEK 100 million due to the restructuring program as cash out in the quarter. Leverage, 3.3x versus 3.1x. Difficult to predict when we are going to move into positive territory, but we feel that we are getting very, very close. We have seen the trend moving from, again, around 10%, 11%, 12% into 6% into 3%. And, again, we feel confident that the order intake and the backlog is going to lead us to positive territory, provided, obviously, that the geopolitical situation doesn't have more negative impact on the consumer confidence. Strategically, we keep working exactly on the same topics, innovation, super important for us and our future, ending up at 23%, an improvement of 2 percentage points versus last year. I'm happy to see that the global restructuring program is biting and how our gross margins are improving quarter-by-quarter. And with that said, I would like to open for the Q&A session.
Operator: [Operator Instructions]. The next question comes from Fredrik Ivarsson from ABG Sundal Collier.
Fredrik Ivarsson: First, you talked about the stronger order backlog, obviously, and a gradually stronger demand. My question is, did you see any big swings from the previous quarter? Or is it just smaller, gradual improvements that you see?
Juan Vargues: No, we have seen a step-wise improvement quarter-by-quarter since Q1. So it's a major improvement if you're comparing with Q1 step by step. And it is a little bit in all areas, I would say, including the OEM channel, has been showing better numbers during the last 2 quarters.
Fredrik Ivarsson: Okay. And then on the FX drag, 2 percentage points on the margin in Q4. Do you have any guidance for us as we look into Q1, Q2 in terms of FX? And maybe also if you could say anything about the specific impact from tariffs during the front end of the year?
Stefan Fristedt: Yes. That was an obvious question. And I can say, I mean, just to give you a little bit of guidance, I mean, if the dollar changes plus/minus 5%, that will have an effect of SEK 47 million on EBITA and equivalent on the euro side is SEK 37 million -- and I am -- and that is on a full year basis, right? So it's -- so I mean, where are the currencies going to go here? But I mean, we have actually been spending some time on that to try to understand that. And our view, and that is, of course, followed by 100 disclaimers, but -- depending on certain things. But I would say that maybe we will have to assume from the rate that we are using by the end of December until the end of March, a 5% to 7% movement on the dollar and maybe a 3% movement on the euro. But that is just -- I mean, as you know, the P&L is driven by an average. So it's obviously not moving as fast as the closing rates here. But I would say a negative 5% to 7% in the dollar rate and then a minus 3% on the euro rate. And then you obviously need to use the numbers that I gave you here in the beginning. And we are actually considering to have a specific call with analysts on the currency effects so that you can -- that we can talk about it in such a forum. But so it's going to be negative, but not as negative as we saw now in Q4. I mean it's also a little bit unfortunate, obviously, that Q4 is a small quarter and these type of effects also -- because of that, has a bigger effect on the margin as such. Then tariff-wise, we are expecting that we, from Q1, will have compensated ourselves with price increases and -- which we also communicated in connection with the Q3 report. So we don't see any changes in that.
Fredrik Ivarsson: Perfect. And if I may squeeze in one last one for you, Stefan, on cash flow, coming back to what you said regarding the 2026 expectation, not fully reaching last year's level, I think you said. In that statement, what do you assume in terms of working capital because you still seem to be quite positive on the upside in working capital?
Stefan Fristedt: Yes. No, But I still see that we have more to do on inventory. Then, of course, there is also going to be a component in here where we need to increase inventory to make sure that we maintain the service level to the customer. But we still have pockets where we know that we will have to continue to work with that. And I mean the ambition in the big trend is to come down to 100 days of inventory. And as you know, we are on 119 as we speak. And will we be able to take that full step in 2026? Maybe not, but still moving towards that target, I would say. But then we are also working with the other components here in finding ways to improve that. So I still feel that we will continue to move towards the 20% working capital to net sales here. And as you saw in Q4, we are on 23%, and we are on LTM, 25% basis. So continue to move towards that level.
Operator: The next question comes from Daniel Schmidt from Danske Bank.
Daniel Schmidt: Two questions from me then. And just coming back to organic growth and the lack of organic growth so far, you mentioned that you've seen order intake improving since Q1 last year. It doesn't sound like that has changed recently heading into Q1 this year. Just simply, doesn't that mean that you are in positive territory in terms of sales organically now or sort of the delay between order intake and sales longer than normal? Or have you seen cancellations during the year of sort of the backlog? Or what's happening there?
Juan Vargues: Now what happens, obviously, that this is a gradual recovery month by month and quarter-by-quarter. So we are much closer in Q4 than we were in Q2 in comparison to Q1. So the major drop we saw really in the second half of 2023 and 2024. And then we entered Q1 2025 on a low level, and we have been recovering since then. Keep in mind how the market has been evolving. First, you had a drop in North America RV. As the market on the RV in North America was stabilizing, then we got, in the last quarter, the second half of 2024, the European market dropping big time, at the same time as Marine was dropping. So the American market has been improving, while the European market is starting to recover now during the last 3 months. So again, it's not that you have a big bang upwards or downwards when -- normally, being global is an advantage. In our case, because of the magnitude of the drop in the different geographies, that's the reason for showing this negative growth for so long in comparison to many other companies. If you look at our American colleagues, they have been dropping 45%. But then after 18 months, they are back. As we have been recovering in some areas, we have been deteriorating in some other areas. We see the recovery on the order intake is all over. I wouldn't say that this is in one geography. We see improvements all over. But still, we don't see the sales yet. Then you have, at the same time, a little bit what we have seen with Mobile Cooling, that people are super careful in building up inventories. So they place an order, and then they see whether they have the sell-through or not. And then depending a little bit on how they see it, they will wait another period of time. So I believe really that we are getting into more stability. But to tell you that we are going to show positive growth on the 15th of February, I would be lying to you. I believe that we will see still what we have seen in Marine, 1 quarter, plus 1% or plus 2% and then another quarter, minus 3%. It's very, very seldom that you are dropping 10% and then all of a sudden, you're moving to 10% growth. I believe that we are going to be most probably one more quarter and then we should be seeing the growth coming back. And more positive on the European market, clearly. We see that Southern Europe and the Southern European players are starting to manufacture again. They were not doing that a few months ago. We said that the German manufacturers are a little bit more hesitant. They are still talking about -- the dealers in Germany are still talking about a little bit too high inventories. While at the same time, we know that companies like [ Klaus ] or like [ HAIMER ], part of 4, are more optimistic about 2026, and we see a major gap between manufacturing in 2025 and registrations. Registrations in Europe ended up at minus 2%, while manufacturing after 9 months was down 17%, or 25% if you look at rolling September. So that's telling me, obviously, that we are reaching the breakeven point somewhere.
Daniel Schmidt: Yes. I was just sort of maybe referring to that you potentially now have said that order intake has been improving for maybe 12 months as we get through this quarter, but let's say, 9 months. And -- but maybe you're also saying that sort of the certainty in the order intake is a bit less, it sounds like, when it comes to dealers postponing orders and so on.
Juan Vargues: I mean we saw that, and we have seen that in Marine, we have seen that in Mobile Cooling, that people are still hesitant to build up inventories. So they place orders, and then they wait. So everything is depending just now on the sell-through. The good news is that altogether, the inventory levels are lower. So it's going to be more and more difficult to postpone the orders. That's what we are trying to say.
Daniel Schmidt: Yes. Okay. And then secondly, we talked about it in Q3, the Igloo court case being moved to March from September. Is still March the date for the court and any sort of -- any changes to what you've provisioned?
Juan Vargues: No. So we still feel very confident about our provisions, and we will be in trial, I think, it's the second week in March.
Stefan Fristedt: I mean our point is still that we don't believe it lacks any merit this quarter. We still believe that we should not pay anything more. That's what we basically say.
Daniel Schmidt: What is the length of such a trial normally?
Stefan Fristedt: Yes. Because -- I mean, there is a trial. And then if it is a fast judge, she will -- it's a she, will take a decision directly in the -- after the hearing, but they have up to 6 months' time to come with their verdict, so to speak. And then there is obviously a chance to appeal after that from either side. So it's like we have said all along, it's -- it could be a lengthy process.
Operator: The next question comes from Johan Eliason from SB1 Markets.
Johan Eliason: Juan and Stefan, just a short question on market share developments. You have a little bit of a history losing some market share during the pandemic to the Chinese in the fridges and the warning side. How are things developing more recently in the current quarter, obviously, disregarding the business you are closing down? Are you keeping? Taking? Or are you still losing some areas?
Juan Vargues: No, I think it's very much in the same situation. So obviously, what we are referring to is obviously Chinese company is very much active in North America. And I don't see that the situation has changed anything. On the rest of the business, it is very much the same. So obviously, we are into a number of industries, and we are into a number of different product areas. Sometimes you lose 1% here and then you win another percent there. So I do believe that -- I don't see any changes altogether.
Johan Eliason: Good. And I think you mentioned that you hoped you would regain some market share in the earnings moving it back to the U.S. again. Has that materialized or...
Juan Vargues: No, not yet. We are working on that.
Operator: The next question comes from Agnieszka Vilela from Nordea.
Agnieszka Vilela: I have 2 questions. The first one, my understanding is that when it comes to tariffs, you have been protected by the USMCA agreement when you imported things from Canada and Mexico. Does the situation change at all with the Section 232 right now? Do you have like -- did you expect more tariff burden? Or it does not apply to your products?
Juan Vargues: We don't see any effects so far. Then of course, we have Mr. Trump's statement last week about 100% on tariffs on a number of different products. We don't have any more detailed information, but obviously, the communication has not been official. There's going to be on when it's going to be. So we are in a waiting mode.
Agnieszka Vilela: All right. Understood. And then apologies, I missed the beginning of the call and maybe you commented on that. But can you just explain the profitability development in Marine specifically? What were the headwinds there? And also, should we expect these headwinds to sustain during 2026?
Stefan Fristedt: I would say that in Q4 specifically, Marine is the segment that has been impacted the most by the currency effect. So that -- we obviously -- I mean, who knows what's going to happen with the currencies? But if we are staying with what I mentioned before, I mean, our assumptions on how we believe that the currency is going to develop based upon our average rates, then I would expect that impact to be less going forward. But that's, of course, with some disclaimers, no doubt.
Agnieszka Vilela: Okay. And maybe just a follow-up on Marine as well. Just looking at the organic growth development in the business as well. Now you -- I think the organic growth declined by 3%, somewhat worse than what was the case in Q4. Any kind of flavor you could give us when it comes to your expectations for the Marine business specifically into 2026.
Juan Vargues: I can give you some indications, Agnieszka. On one side, we have the European market, which obviously size-wise is much smaller than the American market, but we had 2-digit growth in the European market, Marine in Q4. On the contrary, we had negative growth in the American market. On the American market, what we see is that on one side, marine dealers are still very cautious and talking about high inventories. At the same time, we see as well that engine manufacturers are starting to show nice growth on engine manufacturing, which is going to bigger boats. And that could benefit us. The question is when are we going to see that in our order intake and in our sales. But we have a couple of indicators that are positive. The one that obviously needs to change is dealer sentiment on the American side.
Tobias Norrby: And now we have a couple of questions from the webcast audience. The first one being about our restructuring measures, whether or not the current ones are enough? Or do we feel that we need to come up with additional measures?
Juan Vargues: You will never be done, right? Because there is always something more to improve. But our perspective just now is that the market -- we have indications the market is improving. Priority #1, #2, #3, #4, #5 is to put management attention on growth while keeping, of course, full control on the cost while carrying out the restructuring program we have. Just now, we are going for growth. And we intend to show growth in 2026.
Tobias Norrby: And then there's a question on our account receivables program. If you, Stefan, please, could provide a few comments and expectations on that.
Stefan Fristedt: It's a program that we have been putting in place. It's a tool. I was speaking to that. We were also working with the other components of working capital, and that is an example of what we are working with. So for some of our customer bases, we have that in place now. And if I would look on what that would mean by the end of the year, so let's say, by the end of 2026, I would say that it would contribute with another SEK 300 million to SEK 400 million. And then, of course, as we are a very seasonal company, it will be significantly more in certain parts of the year. But if we look on it from end of year to the end of year, I would say, compared to where we ended 2025, I would probably say that there is another SEK 300 million to SEK 400 million to be gained out of that program.
Tobias Norrby: And then a short question on FX and in particular, full year 2025, the impact on EBITA, approximately, margin.
Stefan Fristedt: There we have -- it's significantly less than what we have seen in -- I mean, we were talking about 2.1% units in Q4. And on the full year, it's 0.4%. So this is -- this has been an accelerating situation. And also, of course, versus the comparison to 2024, where the dollar ended with SEK 11.1 at the end of 2024, and now it is more on SEK 9.1. So it's dramatical development that we have seen there. But for the full year, 0.4% units on the profitability or on the profit margin.
Tobias Norrby: And finally, if we can share some more comments on leverage in 2026, ambitions, expectations.
Stefan Fristedt: Yes. But I mean, as one important driver, of course, here is obviously growth. And as Juan quoted before that the very clear ambition for 2026 is obviously to show growth, even though it's not going to be -- you should not expect double-digit growth. It's going to be low to mid-single-digit growth, I would say, in our base case here. So that is, of course, an important part. But then to drive the other parts of free cash flow as well in order to be able to reduce the net debt. And we also -- with the -- yes, plan on how to pay back gross debt, we are also going to reduce our financial net as we go. So I still feel that we should see a reduction in leverage in 2026. Then the question is how far that is going to be? I could say personally, I would be disappointed if that would not be at 2x at the beginning and so that we get out of the area with a 3x at the beginning. So if you see my point.
Juan Vargues: I think just to fill in, if you go back to the last 3.5, 4 years, it has been very much about protecting margins, protecting cash flow, releasing inventories. It has been about navigating along a very, very, very tough period of time in any consumer business. At the same time, we feel that we are very, very close to turning. And that means as well that we need to also spend as management team moving from the defense to the offense. Just now, it's about growing the company, and that will have obviously a major effect, both on free cash flow and leverage without forgetting cost control. So we can assure you that we will keep working on restructuring program. We will keep working on protecting margins. But at the same time, we simply need to see the results of all the hard work that we have been doing also and get back to growth.
Tobias Norrby: Good. And with that, I think we have one more question from the conference call audience, please.
Operator: The next question comes from Daniel Schmidt from Danske Bank.
Daniel Schmidt: Yes, it's me again. Just 2 short follow-ups, maybe Stefan. You mentioned reduction of debt in '26, and you outlined that on the slide earlier today. But what is the run rate in terms of financial net you think heading into Q1? Just could you give us any indication on a quarterly basis?
Stefan Fristedt: [Technical Difficulty]. Okay. Daniel, can you hear us now?
Daniel Schmidt: Yes.
Stefan Fristedt: [indiscernible]. Can you repeat your question? We didn't really -- we were...
Daniel Schmidt: I was just wondering, we talked about reducing debt and all that, and you did a lot towards the end of Q4, I think, if I'm not mistaken. What is the current run rate on the financial net heading into Q1 now on a quarterly basis?
Stefan Fristedt: Now I would say that Q1, there is not going to be -- it's going to be a little bit down, but not significantly. But then after May, when we are paying back the bigger -- the remaining part of our Eurobond, it should be trending down. So I would say I mean we are a little bit above SEK 200 million now. So we should probably see that coming down with -- to, let's say, SEK 180 million or something like that.
Daniel Schmidt: Okay. Okay. And then just a detailed question on the tariff/labor cost impact that you had in Q4. I think that combined was SEK 30 million, and now you're raising prices to adjust your profitability in Mobile Cooling since of January. How much of that SEK 30 million can you sort of counteract with this price increases? All of it? Or still you're going to end up with higher labor cost that is still going to have a negative impact? Or how do you view it?
Juan Vargues: No, I see that on the pricing, our expectation is really to cover up for the increases that we saw during 2025. Absolutely -- now we increased prices, Daniel. The problem is that they are not kicking in before 1st of January.
Stefan Fristedt: Some of them.
Juan Vargues: So most of them kicked into the year, but we had a couple of major customers, obviously, where -- the prices are kicking in in January -- 1st of January. So we should -- our expectation is that we are going to cover up for those inefficiencies that we had in 2025 and the tariffs, of course.
Daniel Schmidt: As of the full quarter Q1, there won't be any sort of delays into Q1?
Stefan Fristedt: Price increases should be effective from the 1st of January.
Operator: That was the last question at this time. So I hand the conference back to the speakers for any closing comments.
Juan Vargues: So we would like to thank you for your attention. It's clear that we are not happy with the performance that we showed in the quarter. We have a number of underlying indicators that are positive, but we cannot be happy, obviously, when our EBITA, for whatever reason it is, is lower than 1 year ago and our profit margins are lower than 1 year ago. And our job is left. We keep working very, very hard to prove that we are going to come back to growth, that we are going to see margin improvements and that we are going to see higher free cash flow next year. And with that said, thank you very much for your attention, and have a good day.